Operator: Greetings, and welcome to the IDEX Corporation First Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Yates, Vice President and Chief Accounting Officer. Thank you, you may begin.
Michael Yates: Thank you. Good morning, everyone. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Let me start by saying thank you for joining us for a discussion of the IDEX first quarter 2021 financial highlights. Last night, we issued a press release outlining our company’s financial and operating performance for the 3 months ending March 31, 2021. The press release, along with the presentation slides to be used during today’s webcast, can be accessed on our company’s website at www.idexcorp.com. Joining me today is Eric Ashleman, our Chief Executive Officer; and Bill Grogan, our Chief Financial Officer. The format for our call today is as follows: we will begin with Eric providing an overview of the state of our business and update on our M&A activity and an overview of our order performance and outlook for our end market. Bill will then discuss our first quarter 2021 financial results and provide an update on our outlook for the second quarter and full year 2021. Finally, Eric will conclude with an update on our sustainability, diversity, equity and inclusion programs. Following our prepared remarks, we will open the call for your questions. [Operator Instructions] Before we begin, a brief reminder, this call may contain certain forward-looking statements that are subject to the Safe Harbor language in last night’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that, I’ll now turn the call over to our CEO, Eric Ashleman.
Eric Ashleman: Thank you, Mike. Once again, our teams across the IDEX should be extremely proud of the results we’ve achieved together. I don’t think any of us would have imagined being at this point when viewing the state of the world a year ago. Our diverse array of high-performing businesses continues to serve as well. We’re seeing most of our end markets either largely recovered or steadily improving at this point. We continue to build on the momentum we experienced in the fourth quarter and expect 2021 to be stronger than our expectations 90 days ago. Although, tremendous progress has been made in our recovery, there are still some areas we’re keeping a close eye on. Our day rates have accelerated, but we have yet to see larger projects in our industrial sector moving forward. Customers are more confident in their outlook, but are now trying to balance the surge in demand with capacity to make larger investments. As for COVID the conditions vary widely around the world. In the UK and the United States, the vaccination rate has been remarkable of late. In China, much of life has been continuing as normal for many months now. The situation in Europe and India, where lockdowns and virus variants are still a serious issue, reminds us that we are not fully past the societal and economic impact that the pandemic has had on our businesses. The quarter was not without challenges from safety protocols and lockdowns to sporadic shortages of parts and materials to rapidly changing logistics hurdles and a variety of staffing challenges. This was far from smooth sailing. Recognizing all of that, I want to thank every IDEX employee on this call for their efforts in the past quarter. I’m proud that our team successfully navigated many tough hurdles to achieve these results. The operational excellence of our teams continues to pay off. Pivoting a moment to capital deployment. With the closure of the ABEL Pumps transaction this quarter and the announcement of the Airtech acquisition last night covered in more detail in a moment, we have started off 2021 on a strong note. And we’ll build on this momentum as we further invest in M&A capabilities. We recently allocated some of our most talented resources towards focused strategy and business development roles. And we engaged external expertise to expand our ability to identify, assess, win and successfully integrate new companies into IDEX. Our deal funnel is expanding as we look for more opportunities to acquire organizations that fit the IDEX style of competition. We think they both widen and deepen the moats around our best businesses, as well as established positions within new market niches with the capabilities of our teams will drive the most value for customers and shareholders. We are fortunate to have significant financial resources to deploy towards these efforts. Moving on to Slide 7. Yesterday, we announced our intent to acquire Airtech Vacuum group from EagleTree Capital for $470 million. Airtech engineers and manufactures high performance regenerative blowers, pneumatic valves, air compressors and vacuum pumps. Airtech had revenue of $85 million with EBITDA margin in the mid 30s range in 2020. It is a 16x trailing deal and a 15x deal including acquired tax benefits. Within the IDEX family of businesses, they compliment and expand upon the solutions provided by gas manufacturing, which produces fractional horsepower air moving products and systems that include air compressors, vacuum pumps, air motors and tank systems. While there is some overlaps in the solutions they provide, much of their techs product lines will be complimentary. They will remain separate businesses within IDEX, but we anticipate collaboration and synergies from each company with shared expertise leading to further innovation. This deal, which we expect to close in the second quarter will then create a $200 million pneumatics platform within our Health and Science Technology segment. Turning to our commercial results on Slide 8. The positive momentum in order trends continued in the first quarter, both compared to prior year and sequentially allowing us to build $59 million of backlog in the quarter. Most of our business units are at or approaching pre-pandemic levels. I’ll go into more details in a minute. Organic orders in the quarter exceeded the first quarter of 2020 and were an all time high for us. Q1 orders were also up 4% organically versus Q1 of 2019. As we look across our segments, health and science technologies and fire and safety diversified products delivered strong organic order growth with fluid and metering technology slightly lagging. As growth rates in HST and FSDP began to naturally level off we expect FMT will drive additional growth through the return of project-based businesses in the energy and industrial markets in the second half of the year. These commercial results and the strength of our rebound highlight the resilience of our businesses and the critical importance of the solutions we provide to our customers. On Slide 9, we provide a deeper outlook for our primary end markets. To level set, we entered the year cautiously bullish about the state of our underlying markets and the velocity of the pandemic recovery. Our day rate businesses began to accelerate coming into the year and we continued to leverage our diversified portfolio to aggressively pursue opportunities to drive organic growth coming out of the pandemic. We are now measuring our markets against their pre-pandemic levels. Many of our markets have fully recovered and the majority of our markets are on track to have fully recovered by the end of the year. As I mentioned earlier, we’re not out of the woods yet, but even with pockets of concern around supply chain disruptions and COVID in certain geographies, we are optimistic about the outlook of our end markets. In our Fluid and Metering Technology segment, industrial day rates continue to increase throughout the quarter. As I’ve mentioned, we will not be at full recovery until we see large CapEx projects resume, but the underlying industrial markets are in a state of recovery trending back towards 2019 levels. Agriculture continues to drive outsized growth as crop prices and customer sentiment remains strong. Our Water business is stable. We continue to assess any subsequent impact from the pandemic, municipal funding as well as tailwinds that might come out of an infrastructure bill. Energy markets continue to lag 2019 levels primarily due to limited capital investment in this sector. Moving to the Health and Science Technologies segment, we experienced solid growth across almost all of our markets. Semicon and food and pharma continued to outperform, driven by a strong market and winning share with our differentiated technology offerings. The overall automotive market faces many challenges, but we have won several new platforms driving our performance. Our AI and life science markets are on the rebound, as the impact of the pandemic of the United States has improved. The industrial businesses within the segment are seeing a similar result to FMT. Day rates are improving but projects are lacking. One last item for HST, we do see risk with the COVID opportunities we have been talking about in this segment specifically around testing. The end product application is yet to receive FDA approval, which will impact volumes for this year. We do believe that the strength in the rest of the segment will be able to offset most of that risk. Finally, in our Fire & Safety/Diversified Products segment dispensing continues its rebound as large retailers free up capital and work through pent-up demand for equipment. Much like our automotive exposures in HST, the auto recovery in FSD at BAND-IT is driven by new platform wins coupled with an improved market. In Fire & Rescue, we continue to assess municipal budget headwinds, especially in Europe and India, as budgets have not been released delaying tenders. The U.S. market has been better, and we are optimistic about the impact of our businesses from increased infrastructure spending. The other lagging category in FSD is primarily BAND-IT’s energy and aerospace exposure, along with some industrial applications in Fire & Rescue. We continue to closely monitor market conditions and are focused on ensuring the stability of our supply chain, as persistence in global supply chain issues threatened to create choppiness in the back half of the year. Despite these factors, we are confident enough in our outlook to raise our organic growth expectations for the year. With that, I would like to turn it over to Bill to discuss our financial results for the quarter and full year.
Bill Grogan: Thanks, Eric. I’ll start with our consolidated financial results on Slide 11. Q1 orders of $711 million were up 10% overall and up 6% organically, as we built $59 million of backlog in the quarter. Organic orders grew sequentially and year-over-year in each of our segments as highlighted by Eric on the prior slide. First quarter sales of $652 million were up 10% overall and 6% organically. We experienced growth across all our segments with over 75% of our business units increasing year-over-year. Strength in Semicon, food and pharma and dispensing were the notable highlights in the quarter. Q1 gross margin contracted 80 basis points to 44.9%, but it was up 110 basis points sequentially. The year-over-year decrease was primarily driven by the dilutive impact of acquisitions, inventory step-up associated with ABEL, mix and one-time inventory reserves. The inventory reserves were associated with our pandemic related electrostatic sprayer businesses now materializing at the rate we expected. Excluding acquisitions in the inventory reserves, gross margin would have been flat to prior year. First quarter operating margin was 23.9%, up 40 basis points compared to prior year. Adjusted operating margin was 24.3%, up 80 basis points compared to last year, driven by the increased volume and the impact of cost actions taken last year offset by the gross margin pressure I just mentioned. I will discuss the drivers of operating income in more detail on the following slide. Our Q1 effective tax rate was 22.6%, which was higher than the prior year ETR of 20%, due to a decrease in the excess tax benefits from share-based compensation. This drove a $0.05 headwind on EPS for the quarter. First quarter adjusted net income was $115 million resulting in adjusted EPS of $1.51, up $0.18 or 14% over prior year. Excluding the $0.05 tax headwind, adjusted EPS would have been up $0.23 or 17%. Finally, free cash flow for the quarter was $95 million, up 32% compared to prior year and was 82% of adjusted net income. The strong performance was driven by higher earnings and the continued impact of our working capital initiatives. Moving on to Slide 12, as Eric mentioned, we entered the quarter cautiously optimistic about the pace of growth coming into 2021. We knew that we were structurally well positioned to take advantage of the improving market conditions from the cost actions and discretionary controls, we put in place last year. Adjusted operating income increased $18 million for the quarter compared to prior year. Our 6% organic growth contributed approximately $13 million flowing through at our prior year gross margin rate. The impact of previous discretionary cost controls contributed $5 million and we were able to net $4 million from price, productivity, partially offset by inflation. After accounting for $2 million of negative mix, our organic flow-through is extremely strong at 58%. Flow-through was then negatively impacted by the $3 million charge related to the inventory reserve, I discussed on the last slide and the dilutive impact of acquisitions and FX, getting to a reported flow-through of 32%. As we highlighted in prior calls, we expect to reinvest aggressively in the business to drive both organic and inorganic opportunities. We’ve already started those investments and expect the associated costs when these initiatives will reduce our organic flow-through in subsequent quarters. With that, I would like to provide an update on our outlook for the second quarter and full year 2021. I’m on Slide 13. For the second quarter, we are projecting EPS to range from $1.60 to $1.63 with organic revenue growth of 18% to 20%, and operating margins of approximately 24.5%. The second quarter effective tax rate is expected to be about 23% and we expect a 2% top line benefit from the impact of FX. Corporate costs in the second quarter expected to be around $21 million with the increase, primarily driven by the M&A investments we discussed earlier. Turning to the full year outlook, we are increasing our full-year EPS guidance from $5.65 to $5.95, up to $6.05 to $6.20. We are also increasing our full year organic revenue growth from 6% to 8% up to 9% to 10%. We expect operating margins of approximately 24.5%. We expect FX to provide a 1% benefit to top line results. Our full year effective tax rate is expected to be around 23%. Capital expenditures are anticipated to be around $55 million. Free cash flow is now expected to be 115% to 120% of net income and corporate costs are expected to be approximately $74 million for the full year. Finally, our earnings guidance excludes any costs or earnings associated with future acquisitions or restructuring charges. ABEL Pumps is now included in these estimates with the deal closed in the first quarter. Airtech is not included in these estimates. We will update our guidance accordingly once a deal closes. With that, I’ll throw it back to Eric for some final thoughts.
Eric Ashleman: Thanks, Bill. I’m on the final slide, Slide 14. Before we open the call for questions, I’d like to share an update on our ESG journey and the evolution of our company culture. We recently published our second corporate social responsibility report. This report is our first to adopt the Sustainable Accounting Standards Board sector standards also known SASB. We have increased our disclosures in key areas, including health and safety, diversity, and environmental impact. I would like to take this opportunity to thank Denise Cade, our General Counsel and her cross-functional team for their outstanding efforts to bring our hard work and commitments to light. Diversity equity inclusion continues to be a point of emphasis in our evolving company culture. Since we last met, an outside facilitator conducted anonymous focus groups with employees from around the world, from which we learned and we’re able to begin developing more targeted goals for the company. We are currently planning training sessions for all leaders to help them understand and become comfortable, fostering dialogue on these important issues. We are addressing our talent management processes, including our assessment of existing talent and our consideration of new talent through recruiting to help ensure our processes are free from unconscious bias. And we are assessing our purchasing practice to expand our use of diverse suppliers. IDEX is a decentralized company with a diverse collection of businesses. Our superior economic model depends upon problem solving and decision making at the point of impact, closest to our customers. Our collective work within this important areas outlined in this report is an essential component of our next phase of business growth. With that, let me pause and turn it over to the operator for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mike Halloran with Robert W. Baird. Please proceed with your question.
Mike Halloran: Good morning, everyone. So let’s just talk about what’s embedded in guidance here, obviously, really strong first quarter. Second quarter guide seems where the uptick and guidance comes from between the first and the second quarter, maybe a little less movement in the back half of the year relative to prior expectations. So just kind of want to understand, what the trajectory you’re thinking about through the year is? How you’re viewing the recovery? How much of – what I just mentioned is true and what are some of the puts and takes you’re thinking about, because obviously, the tone that you’re striking is cautiously optimistic as you move in the back half of the year. And just want to make sure I have all those things balanced.
Eric Ashleman: Yes. Well, thanks, Mike. I mean, look, it’s – I mean, it’s an interesting time, as I said, in the opening comments there. I mean, we’ve got this broad-based momentum, which we feel really good about. And it’s got these little chapters that lie over it, whether that’s shutdowns, coming out of Christmas, terrible weather in Texas in February, supply chain stuff now and I think that’s going to be the story as we go. And then that lays over the IDEX story, which always kind of had our second quarter as a high point for us. And so we see that momentum lining up nicely on our typically seasonally adjusted second quarter. And then the back half, I think that’s going to be a story of – we’ve got some projects and things that we know about on the inside that we feel good about. We think the momentum certainly will continue, but we would suspect we’re still going to have a lot of these challenges out there that we’ll have to navigate around. And of course, then I think the typical seasonal patterns that we see around summer shutdowns and things in Europe are embedded on top of that. So it’s an interesting story with very broad-based support, early momentum, these kind of episodic challenges that we have to navigate around that we feel confident and we will.
Mike Halloran: So on those challenges, supply chain, inflation price cost dynamics, maybe talk about how those are impacting you, when you think there’s call it peak pain from your perspective on all these things hitting, with that, I mean, first quarter margins were obviously excellent. Second quarter implied still very good. So just talk about how you’re managing effectively and you did a ton of work coming into this to prepare for a lot of these challenges. But I’d certainly like to understand how it’s impacting you and how it phases through the year?
Eric Ashleman: Yes, sure. Well, like, this is where our model and our talent really helps us. I mean, we’ve got a lot of local sourcing very close to where we produce, very close to where we sell. So we have a kind of an inherent advantage there. And we’ve got really, really talented teams that used, frankly, a lot of the lessons of the year’s worth of the severe acute phase of the pandemic to make some smart moves around supply chain to prepare us for this. That being said, I would say, on the inflationary front, it’s kind of spotty for us. I mean, remember we’re a little further down the food chain. We don’t buy a lot of giant quantities of base material. We buy things that have been converted. So it does have a little bit of a lag for us. And so we see the same things others are seeing where we buy lots of metals. There’s some inflationary pressure, electronics, few other places. But we’re navigating around those. On the freight side, that’s certainly a challenge both on the price, frankly, more on the availability side. We’re no different than anybody else trying to find sea containers, trucking, trains, port facilities that have to unclog all of those things. Our model helps us. Our folks help us. I think, as we go further out, the inflationary pressure I actually think that’s going to ramp up a bit for everybody. One of the things that you can still appreciate, I see it in our own businesses is today we still have a little bit of the benefit of our people are good scavengers. They’ll go around and they’ll find some things over here. Find some places over there. Take advantage of some inventory sell stock. Eventually, you kind of get back where you’re right at the end of the factory. And then you’re kind of dealing with what everybody else is. So we’re planning for that. We’re making all the moves that we need to. And certainly, of course, all of this for us, you can never tell this story without talking about price capture. And so we’ve got these things aligned and as you suspect, we’re always trying to manage that spread and taking advantage of the price capture side as we sell and then executing the heck out of a difficult environment on the backend to maintain that spread as we go. And doing it all with our customers at top of mind and considering, and remembering the lead time requirements that we have kind of where we fit the criticality of what we do. That’s what drives all of it.
Bill Grogan: Yes, Mike. So we were pretty comfortable relative to where we’re sitting right now that we’ve maintained our historical price cost spread. When we have seen some businesses, the inflation has ramped up here more quickly. They’ve gone out proactively with incremental prices or surcharges to our customer. So our commercial teams are actively working with our supply chain teams to make sure that we have the ability to continue that spread as we progressed through the year.
Mike Halloran: Thanks for the answers, guys. Appreciate it.
Operator: Our next question comes from the line of Deane Dray with RBC Capital Markets. Please proceed with your question.
Deane Dray: Thank you. Good morning, everyone. There were a couple products cited in the prepared remarks COVID related, that were looking like they were lagging in terms of initial expectations. I know last year that was part of an IDEX initiative. There were $25 million to $100 million potential revenue new COVID products. It sounds like this - two of these were in that bucket, the HST the COVID tester and the FMT, the electrostatic sprayer. So just give us an update those COVID related initiatives, how many not all are going to come through, I get that, but just where does that stand in terms of expectations?
Eric Ashleman: Sure. So I’ll kind of start back in the beginning and just walk this from high to low. I mean, we originally talked about that range pretty quickly that moved to about $60 million. That was split pretty evenly between 2020 and 2021. So now we’re kind of talking about a $30 million bucket for this year and the two biggest components in there were the electrostatic sprayer application, which we talked about and you saw in the margin walk, I’ll come back to that in a second. And then the COVID testing, the diagnostic application, which was always a little bit more backend loaded. And as you noted, and we noted in our remarks, we’ve got some pressure points around both of those related frankly to the improving situation that we see across the globe in terms of vaccination rates and some other things. On the sprayer front, that literally is binary as some change in thought, a change in thought, that was part of the CDC guidelines around the need for standardization, not being as high as previously thought. At a time, pretty coincident with some of our launch planning. So as you’d suspect, we’ve taken a slightly different view of that business. I think it’s a good product line. There are still plenty of places, a lot of it involved in transportation where that’s still going to be an essential piece of it. But it’s no doubt going to run out slower. I do want to pause just for a second though and point out the positive aspect of that. That was – it was one of our hardest hit businesses in terms of their core markets that rallied massively quickly put together a business and put together all this product and got it ready to frankly live our mission and try to make the world a better place. So we celebrate that one. And we’re going to leverage that capability going forward. On the other side, on the testing front, it’s a little bit more complex. We’ve got some issues on FDA approvals with our partners and we have this backdrop of vaccinations and things rolling out across the world, but I must tell you. So I think, we’re viewing that a little less favorably as we go forward again with an eye towards what happens in the back half. Now the world is still is not at the recommended level of surveillance testing, we’re underneath it by more than half. And we still think this has a role to play, but we want to at least point out that, there’s an impact of an improving world to a couple of these applications. But overall, couldn’t be happier with how our teams responded and put together the solutions here.
Deane Dray: All right. That’s really helpful. Thanks for the update there. And look, we’d much rather see you take these shots on goal because that’s good initiative. And there’s always some positives that will come out of it in terms of product development and other market opportunities. So appreciate all that. Second question, just – it’s more for Bill, just in terms of expectations on incrementals for the balance of the year. And I really appreciate how you highlight the organic drop through to separate out. It was like the inventory reserve taken. So just the expectation here, both on reported incrementals and organic incrementals and what is baked in on guidance here?
Bill Grogan: Yes. So maybe I’ll speak to the organic. Obviously, really healthy, we look at core organic flow-through of 58%. I think relatively increasing guide, where we’re at with our reinvestments discretionary cost add backs, that’s probably going to moderate around the low 40%s as we progress through the second, third and fourth quarters, if we do the math, that’s really, what’s implied with the revised EPS guidance.
Deane Dray: That’s real helpful. Thank you.
Operator: Our next question comes from the line of Allison Poliniak with Wells Fargo. Please proceed with your questions.
Allison Poliniak: Hi guys. Good morning. Just want to go back to your comments on the industrials more on that big project focus. I just want to make sure I understand it. It sounds like it’s – the first half still really slow, second half, you’re getting some expectation that that could improve. Any color there. Is it sort of confidence from customers increasing, quality of inquiries, any color you can provide on that side?
Eric Ashleman: Yes, absolutely. I mean, it’s an important piece of the business, especially as we think about the rest of the year. I think actually the situation is changed there. The daily order rates, of course, we pointed to that momentum and that’s a great sign. That’s a great sign that the system’s working and that the momentum is there. The project side, I think has shifted from one of confidence in a lack of belief in let’s say, an improving outlook in the world and all of those things, that’s actually quite favorable now. I think now it’s actually caught up in a space -a zone of people just trying to execute it. And I look at my own businesses and see some of that same thing where some things larger projects, we’ve been thinking about a lot of people that would have been moving those along are trying really, really hard to ship product, get things going, understanding that’s on inventory, all of that. So as we engage with customers, particularly that right down that fairway of industrials with an FMT, this is the difference in tone. You see a lot of optimism, but you also see a lot of very, very busy people. And that’s especially true of the nature of the kind of projects we have. These are kind of those medium term expansions of facilities and things like that. So we’re pretty confident, very confident that those are going to come back. In some ways, we just need to get a little bit more space to work on them, continue to see the momentum that’s already out there. And then the lines cross, and we think that’s an important part of our story going forward.
Allison Poliniak: Great. That’s helpful. Thank you. And then just next, M&A, it sounds like a pretty active pipeline, two deals so far. I guess, two things, one – how are you balancing that managerial capacity to handle some of these incoming properties with activity increasing. And then second is really around leverage, any change to sort of that comfort level. And if there’s some, I would say more interesting opportunities that come along here. Just any thoughts there?
Eric Ashleman: Yes. Great questions. Well, so a couple of things and – just capacity in general, as you’ve seen in the comments for a couple of quarters here, we’ve been building that all along. A lot of the optimization we’ve done with IDEX over the last five years gave us the muscle that we’re now leaning on as we think about looking for acquiring and integrating companies. So that’s something just at the foundational level rather than just do the two transactions that we have here. They’re both very good standalone businesses that while they’re going to require some integrative activity these are well positioned, in good shape and let’s say, a lighter touch in terms of demand from some IDEX talent across the board. And so bottom line is, I feel confident that we could continue to work the funnel that we have with the intent that we’re driving. If we were to kind of lap this experience again in the back half, I wouldn’t see that as a problem, in terms of – our teams being able to go out and work on acquisitions. I will tell you, it’s a spec. We always filter these, there are some properties that if we said yes, and we were successful to take a lot more work than others. And we would factor that in. And we’re always pretty aware of that. But right now in very good shape with an intentional build on the bottom side and on the top. Two transactions that are very fortunately are in kind of great shape out of the gate.
Bill Grogan: And then relative to your second part of your question, I would say, yes, we still think our balance sheet is most efficient at about 2.5x. So relative to the capital availability we have on hand plus additional leverage for us to go deploy another $2 billion post the Airtech closure is extremely reasonable. So we have more than enough capacity to go after the things that Eric just mentioned.
Allison Poliniak: Great. Thanks so much for the color.
Operator: Our next question comes from the line of Connor Lynagh with Morgan Stanley. Please proceed with your question.
Connor Lynagh: Yes, thank you. I wanted to talk about the Airtech acquisition. Just wondering, if you could sort of provide an overview of why you found this to be an attractive asset, how we should think about the market structure and the competitive positioning of the firm?
Eric Ashleman: Sure. Well, this is an exciting transaction. This is a really, really phenomenal company. And it sits very nicely next to the gas business that we illustrated there on the opening deck. In the nature that they’re both involved with very, very specialized air handling applications, but they’re highly complementary. So the strengths of gas in different areas of compression are then balanced very nicely with the regenerative blower side and the specialty in the valve piece of Airtech. So they fit together seamlessly. What I really, really like about these businesses is they’re both filled with incredible domain experts who have just got phenomenal abilities to innovate. Airtech has got a great growth track record. As I said in my opening comments, it’s very profitable, very close to end markets that we’re extremely interested in. On the gas side, we’ve got some of that as well. And frankly we’ve got a lot of channels strength in markets that I think are going to compliment that business. And then we’ve got a toolkit. We’ve got a talent base, a cultural base, and an 80-20 toolkit that we know when you apply to IDEX like businesses, particularly ones of high quality, can drive the whole thing further. Last piece of it is, there’s other things out there in this world that could be interesting that the two businesses together may unlock for us that are part of our – the funnel and things that we’re thinking about as we consider capital deployment in the future. So the suite of options, but around a - all of its centered around a super attractive business that we could not be happier with.
Connor Lynagh: Yes. Understood. Maybe just to dive a little deeper on that. Could you help us understand sort of the big end markets that the business serves and just how you’d think about longer term ex-COVID normalization type growth within the business?
Eric Ashleman: Sure. I mean, the business has got it’s – similar to gas in some respects, it’s got kind of an industrial core that serves as a foundation piece both financially and in terms of scale. And then in the markets that they’ve picked, they’ve done some nice things in alternative energy. They’ve done some great work within some specialty medical applications, some very interesting things around some technologies that are going to be important for the world going forward, industrial tech. They just, again, it’s a lot like IDEX. Many of them are industrial like applications, but they really leverage being up at the tightest end of a tolerance and duty spectrum. And this business has a great filter in terms of how they bring those about. So, a lot of it’s going to sum up to general industrial, but when you pick at it, that next level has always been the most important for us. And you just see incredible little niche applications that line up really well with their capabilities and the financials of the business.
Connor Lynagh: Appreciate it.
Eric Ashleman: Thank you.
Operator: Our next question comes from the line of Matt Summerville with D.A. Davidson. Please proceed with your question.
Matt Summerville: Thanks. A couple of questions. First, with respect to HST, it looked like that business delivered a pretty nice breakout performance from an operating margin standpoint. Can you talk about what’s sort of driving that and how you feel about the sustainability in that profit performance that you delivered here in Q1?
Bill Grogan: Yes, sure. I’ll take the first stab at it and then Eric could add. No, I think relative to the actions that we took last year to restructure some of these assets and then the mix of the businesses within the portfolio that have performed extremely well here over the last couple of quarters. So that combination of a much better foundation to build off of, they did have significant growth and then the mix of sales within the different businesses were the primary drivers. So I’d say, we would look for them to be at this level of profitability here going forward.
Matt Summerville: Got it. And then just as a follow-up to the price cost sort of question that came up earlier. How much price were you guys able to realize in Q1? And how much incremental price realization will you need in the balance of the year to keep that price cost right where you want it? Thank you.
Eric Ashleman: Well, we were just north of a point in Q1. That was fully in line with what we saw on the inbound side. I honestly think it will – we’re going to aggressively target to ratchet that up a bit, but we always do that with the indicators that we see and thinking a lot about the ultimate spread that we realized. So I don’t know that we’ve got a number of pegs, but we have a method that we peg that sort of is very active, follows along, takes advantage of the short lead times that we have in the way that we are able to execute price. So I guess, the shortest answer would be probably north of where we are here. A lot of it dependent on where we see some of the underlying commodities and some things heading for us, but always mindful of where that spread is. But ultimately we want to keep that as a net positive item for the company.
Matt Summerville: Got it. Thank you, guys.
Eric Ashleman: Thanks, Matt.
Operator: Our next question comes from the line of Joseph Giordano with Cowen. Please proceed with your question.
Francisco Amador: Hey guys. Good morning. This is Francisco on for Joe.
Eric Ashleman: Hi.
Francisco Amador: Are you guys seeing any impact specific to the semi-shortage, whether it’s specifically on that end market or any other markets that are sort of feeling the pain like automotive?
Eric Ashleman: Yes. We see them both fronts, so there are those occasions where end customers certainly got some issues, automotive is the easiest one to point to. That’s the more recent coming into our world in the first quarter. We think about our exposure there is very much program by program. So it literally comes down to kind of, are they making trucks versus cars? And so we’ve seen some of that enter the mix in Q1 and we talked about that. From our side, we don’t have a ton of computerized elements of the products we make. We see it in sensors and some displays and some other places, so it’s out there. And we’re navigating just like everybody else, but it’s been – frankly, we’ve been able to move around it, work around it and bring it all together here.
Francisco Amador: Great. That’s helpful. And then can you expand a little bit more on the dispensing side? Are you seeing replenishment there and like just expanding on the demand in general?
Eric Ashleman: Well, I think, yes, I think on the dispensing side, you see a couple of things coming together. I mean, one of the big drivers there has always been sort of life of the fleet and we were coming up at a point where that we knew that that was going to be refreshed. On top of that, of course, we had a pandemic where – frankly, even while we were locked down and shut down, there was a lot of painting going on and you saw a reluctance to say, well, let’s go interrupt that stream with capital deployment. So now that we’ve kind of passed through that, you’ve got kind of those two things that coming together, and you’ve got economies that are opening up on a global basis. Remember this is a really global business for us. We’re doing business all over the world here. And so we’re seeing kind of a bunch of positive forces come together all in one place on a business that has this potential over time. It does tend to hit some cycles and some valleys. And right now it’s hitting many positive cycles.
Francisco Amador: That’s helpful. Thank you.
Eric Ashleman: Thank you.
Operator: Our next question comes from the line of Walter Liptak with Seaport Global. Please proceed with your question.
Walter Liptak: Hi. Thanks. Good morning and congratulations on the good quarter. I wanted to see if we can get some insight on the M&A pipeline with the Airtech deal. Was this a deal that you’ve been working on for awhile? Clearly, there’s a nice fit with gas and maybe a sector to go after. But was this a brokered deal? Was this something that was kind of went through a process or have you been working with Airtech for a while to try and get something going?
Eric Ashleman: Yes. I mean, like a lot of the companies that are out here we’ve known about Airtech for a long time. Honestly kind of watch them as they’ve grown very, very well over the last half decade or so. So, they’re under private ownership, a lot of things came together and I will tell you, it moved pretty quickly. In this particular case, this is – as you might imagine, one of the easier businesses for us to get our heads around. And then as we did that and saw the quality of it, it moves quite a bit faster than some other transactions, just because of a lot of those things lining up well for us.
Walter Liptak: Okay, great. Thanks for that. And then, in the past, you guys have talked about the valuation multiples of M&A deals. I wonder, how’d you feel about the multiple that you’ll be paying for this one. And you mentioned 80-20 is like a value-add that you can bring to the business. Is it too early to start talking about where you think – what you think you could do with it?
Eric Ashleman: Well, look it’s very strong business, valuations are high now. We’re pleased with the transaction. That’s why we did it. I’d say, from an 80-20 perspective, it’s interesting. This – in any ways I think it’s going to – this is representative of the sweet spot of what 80-20 can do. You’ve got a business here that’s a lot like ours in terms of its filled with these incredible problem solvers full of passion. What 80-20 helps you do is just understand what are the things you’re going to go after? Why is that? And how can you get disproportionately more of your resources over on the things that are the best? It’s a very simple framework and a thinking process that becomes intuitive over time. And we’re excited to introduce it and work with Airtech team on how it might help them improve an otherwise already good business. You can use it for other things and different businesses that are in different states, but this one is very much around continuing to help a really strong business grow even better in the future. And think about – and use it as a lens to think about the combinations and synergistic elements between the two companies together.
Bill Grogan: Relative to the multiple, obviously, we focus on the returns and this is a high quality business that we think is going to be drive returns well in excess of our cost of capital here as we proceed over the next couple of years. So, although it’s a little bit on the higher side on the print number, long-term this is a phenomenal transaction for us.
Walter Liptak: Okay. Yes, looks great. Thank you.
Eric Ashleman: Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Scott Graham with Rosenblatt Securities. Please proceed with your question.
Scott Graham: Good morning and nice quarter for you guys. Thanks for taking my question. I apologize, I was sort of jumped on and off the call here. If I ask a question that’s been asked, I apologize in advance. Did you mention Airtech’s sales specifically?
Eric Ashleman: Yes. We did in the opening comments around $85 million.
Scott Graham: $85 million. Thank you. Additionally, Eric, I noticed that you put in your market sum up life sciences, is sort of recovering. And I know a couple of companies that are out there, be it Illumina, Danaher, which are proxies [Indiscernible] customer, but really had blowout first quarter results in some of their markets. And I know it’s not perfectly like for like, particularly with Danaher, but I was just curious as to why you have that in recovering as opposed to not recovered.
Eric Ashleman: Well, a couple of things, like a lot of things with IDEX it comes down to where we play and the products that we have there. So, a lot of companies have a lot more consumable exposure than we do. And so that would be very clearly that’s the piece that recovers first and a lot of the elements that are embedded in life sciences. Let’s just take the kind of classic IBD space, as things open up and people go back in for testing you get a lot of action on the consumable stream, but it takes a while before you’re going to do a large scale box replacement and that’s what we supply. So, we’ve got a mixed bag here. We’ve got some places like that where we’re going to have to wait. And we certainly have some exciting stuff, especially on the microfluidics side and some of the stuff around AI as it involves itself in vaccine development and therapeutics [get up] (ph) in a different place. But when you put it all together we sort of use this category to say, recovering, but not quite there yet. And we understand the elements that are going to have to find their way in there for us to move it into the next space.
Scott Graham: Right. I guess, by just a little bit different space of things then move around within the space, would you be surprised if on the next quarter call that if you didn’t have life sciences up a notch into the recovered zone?
Eric Ashleman: I’d certainly consider the arrow to be moving in that direction. A lot of it would come down to the IBD placement of machines, some of the CapEx that’s in that product, whether that’s a quarter from now or later, I don’t know. But it’s hard to imagine that it wouldn’t improve. All the dynamics would suggest that we would follow much of what you cited there and those other companies.
Scott Graham: Got you. Okay. Yes. Thank you. So another question again on that same page Fire and Rescue. This morning one of your customers reported a pretty robust fire number, which surprised me, might have even surprised you. I know that, sort of muni spending and related was a bit of an area that you were watching coming into the quarter. It sounds like you kind of still are. Could you update us a little bit on that market? Is there potentially may be a refresh that’s needed there as well, given the number that customer reported this morning? Or is that maybe just sort of like – sort of like the final good quarter and maybe you think it slows down from here, just on Fire.
Eric Ashleman: Yes. Well, I certainly couldn’t talk too much about what they said or what they might be seeing, but I will say it’s an interesting space because you have a lot of things going on here. You’ve got obviously the municipal spend profile side and a lot of that we’re going to have to wait and see where that goes. There are so many elements that are moving around concurrently. There’s federal efforts to backstop things and that side of it there’s some regulatory pieces. So we’ll see. And then you’ve got this dynamic, certainly in this market where we’ve seen even ahead of some of the more recent supply chain stuff that we’re talking about globally, very unique to that industry, challenge around trucks and chassis and things that’s sort of capped off some of the potential on the sales side for end customers. So, if that works itself out that’s going to be ultimately good for us. We’ll see how successful people are with that. And then we’ll have to see where the market itself, the municipal market rides along underneath it. And then you always have to throw in for us, I hate to do add more and more variable, but this is a really massively global business. And so, they don’t all move in step. Things going on in China and India and emerging markets are not necessarily the same as what we would see here in the Midwest. So there’s a lot of things working together. I think it’s safe to put it in the recovering. It is improved, not quite back where we would expect it to be and think it will be ultimately. And then we will like you monitor a lot of these things coming together here to paint a clear picture as we go.
Scott Graham: That’s very clear, Eric. Thank you.
Eric Ashleman: Thanks.
Operator: Our next question comes from the line of Nathan Jones with Stifel. Please proceed with your question.
Nathaniel Pendleton: This is Nate on for Nathan Jones this morning. I wanted to ask about orders. Orders were up 6% organically and 10% in total. Can you talk about kind of the cadence of orders through the quarter? What segments and end markets drove the improvement in order rates? And then how daily order rates are trending so far in April.
Eric Ashleman: Yes. I mean, honestly you can kind of take the entire company and say in generally it improved as we moved through that first quarter. I will remind us again each month had its own chapter of externality. But I guess all of them were somewhat equal. So broad improvement kind of marching through the quarter and as we’re looking at April, I mean, I don’t see anything that would change the story here. Bill, anything you’d add.
Bill Grogan: No. I guess, from what drove the orders, obviously all of the businesses within HST did extremely well. Within FMT, obviously we talked about that’s probably the group that’s still lagging a bit across the portfolio, outside of Banjo that had a phenomenal quarter and it continues to outperform relative to the dynamics in that market. And then within FSD, Band-IT and dispensing specifically did extremely well with Fire and Rescue improving relative to some of the things that Eric highlighted based on Scott’s question, so a little bit slower than the balance of the portfolio.
Nathaniel Pendleton: Okay, great. And I wanted to ask a follow-up with muni. What are your assumptions on muni budgets and spending? And then what are your thoughts on the infrastructure spending Bill and potential impact to the muni market?
Eric Ashleman: Yes. So look, I think we’ve got muni spending in generally in kind of a steady as she goes category until we know more and see it. The infrastructure stuff is interesting as you’d expect probably like everybody else, you kind of go and peel it back headline by headline. Then you’ve got to really work on a variable of timing. Like when do we think that that would find its way here? And as always, a lot of it’s pretty unclear. So just that term in itself, if it means roads and bridges, it means one thing for IDEX, if it means underneath and sewers and wet pipe and things like that, that’s different. And it’s hard for me to see how clear it is until it starts to become more actionable, which then I think supports – I think it’s going to take a while to run out. But I would say in general, the fact that it exists is a positive element that should help of many IDEX markets. So we view it that way. We’ll continue to ping it as we get some insight into things and start to see driving trends within the business will surely call it out.
Unidentified Analyst: Got it. Thank you for taking my questions.
Eric Ashleman: Sure.
Operator: There are no further questions in the queue. I’d like to hand the call back to management for closing remarks.
Eric Ashleman: Okay. Thanks so much. For those external to IDEX, I always want to thank you for your support and interest in the company. We know there’s a lot of IDEX employees on a call like this as well. And so frankly, I want to thank you again for your hard work. It’s paying off clearly, as we’ve talked about here. There’s more hard work to come, but we’ve got a resilient business. I think our positioning in these attractive niches continues to serve us well. We’ve got a team of people that are second to none here. So I think you can hear, we’re pretty optimistic about the path forward. We know there will be challenges, things that are unexpected that will come up along the way, but we’re excited. We’re excited about the momentum that we’re seeing, where it will take us. And we’re very excited about the story here with bringing Airtech into the IDEX family, alongside ABEL Pumps. We’re working hard to continue that momentum as well on top of it as we go forward. And we’ll look forward to talking to you all along the way as we make progress. Thanks so much.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.